Operator: Good morning, everyone, and welcome to the Cineplex Inc. Fourth Quarter 2023 Earnings Conference Call. [Operator Instructions] I will now like to turn this conference call over to our host, Mahsa Rejali, Vice President of Corporate Development and Investor Relations. Please go ahead.
Mahsa Rejali: Good morning, everyone. I would like to welcome you to Cineplex's fourth quarter 2023 earnings release conference call hosted by Ellis Jacob, President and Chief Executive Officer; and Gord Nelson, Chief Financial Officer. Before we begin, let me remind you that, certain statements being made are forward-looking and subject to various risks and uncertainties. Such forward-looking statements are based on management's beliefs and assumptions regarding the information currently available. Actual results may differ materially from those expressed in forward-looking statements. Information regarding factors that could cause results to vary can be found in the Company's most recently filed annual information form and management's discussion and analysis. Following today's remarks, we will close the call with our customary question-and-answer period. I will now turn the call over to Ellis Jacob.
Ellis Jacob: Thank you, Mahsa. Good morning and welcome to our Q4 2023 conference call. Today, Gord and I look forward to recapping the notable year we had in 2023. As I reflect on the year, Cineplex truly demonstrated why we are a North American leader in entertainment and media. We delivered a strong Q2 and a record-breaking Q3, the best in our company's history. During 2023, Cineplex delivered strong year-over-year revenue growth of 26% and nearly tripled its adjusted EBITDA to $157.4 million from continued operations. Our adjusted EBITDA margins significantly improved to 11.3% in 2023 compared to 4.9% in 2022 and even approaching the 2019 margins of 14.1%. These results prove we have the ability to succeed amidst an evolving entertainment industry. Despite the anticipated content supply challenges, which the entire exhibition industry faced, we outperformed the North American box office relative to 2022 by 785 basis points. One of the reasons we are outperforming our peers in box office performance is by giving our guests more reasons to keep coming back. Our alternative content strategy played an integral part in navigating last year's content supply shifts. 2023 marked our biggest year for international programming, delivering 10% of Cineplex's annual box office revenues with films like Pathan, Animal, and Carry On Jatta 3. This compared to our North American peers who generated only 4% of their box office revenues from international content. In addition, the partnerships we have with the Met Opera National Theater Stage Productions, sporting events, and concerts allowed us to bring more immersive cinematic events and programming to our theaters. It was undeniably the year of Taylor Swift with the Taylor Swift The Eras Tour concert film generating over $180 million in domestic box office revenue and taking top spot as Cineplex's number 1 title in Q4 2023. The remarkable response to this concert film allowed guests to reimagine their local theaters as a place to enjoy the ultimate concert experience with friends dancing and singing along with their favorite artists. In addition, the expansion of our distribution business, Cineplex Pictures, allows us to source content from all over the world and distribute to Canadian audiences like Oscar-nominated Japanese film, The Boy and the Heron. Last year, we announced a Canadian theatrical distribution agreement with Lionsgate for its 2023 film slate, bringing 11 titles to the big screen. They have extended the agreement for another year and Cineplex Pictures looks forward to upcoming Blumhouse horror film, Imaginary, and next summer's Borderlands based on one of the best-selling video game franchises of all time starring Cate Blanchett, Kevin Hart, and Jack Black. What's also setting us apart from our peers is no other exhibitor has a loyalty program like Cineplex, as it's both a great engagement tool and rich in consumer data. Cineplex is Canada's most robust lifestyle loyalty program with over 14 million members and growing. Now with Empire Grocery and Home Hardware as new retail partners, we have gained significant opportunities to attract new guests, meaning we've converting non-moviegoers into moviegoers. In fact, 25% of Cineplex members who visited Cineplex in 2023 made their first visit as a Cineplex member, further expanding our loyalty guest base. Not only are we utilizing the power of data to drive repeat visits and acquire new guests, we are also investing in technology to provide our guests with expanded information and a seamless Cineplex experience. We enhanced our web experience, launched our new app, and are rolling out a program for mobile concession ordering. By creating a more personalized guest experience with relevant content and target offerings, we are increasing both frequency of visits and spend per person. It's also important to ensure guests have a variety of ways to immerse themselves within their favorite film through premium experiences. We are continuing to invest in premium offerings like the Panoramic ScreenX experience, which we expanded in Montreal and Brampton last year, bringing the total number of ScreenX locations to 17 theaters across the country. In 2023, we expanded our partnership with IMAX, committing to an additional five screens, including one IMAX screen that opened last year at Cineplex Cinemas Coquitlam. Our latest IMAX location will be added to a Yonge-Eglinton Theater in Toronto just in time for the release of Dune Part 2 next month. By driving guests to premium experiences, our BPP in 2023 reached a record of $12.53, and we generated 41.1% of our 2023 box office revenues from premium, margin-aggrieved experiences like VIP, IMAX, and Ultra AVX. We also achieved a record CPP of $8.90. These results clearly indicate the multiplying effect of the sustained enthusiasm for a premium theatrical experience and our enhanced food and beverage offerings, paired with our unique ability to offer guests diverse content, personalized experiences, and a variety of entertainment options across our venues. As we look to create more opportunities for families and groups to visit our venues in 2023, we added another Cineplex Junxion location. We introduced this new entertainment concept in 2022 with our first location opening in Winnipeg, Manitoba. It reimagines the exhibition venue, bringing movies, amusement gaming, casual dining, and live performances all under one roof, significantly expanding the entertainment experience beyond movies. Last May, we opened our second location, Cineplex Junxion, Erin Mills in Mississauga, Ontario, and it's off to a strong start, currently on track to exceed our original performance expectations. As the exhibition business continues to ramp up, we are also seeing accelerated growth in our diversified businesses. We've launched two unique LBE brands over the past eight years, each targeting a different consumer segment. These venues offer something for everyone with live entertainment, casual dining, a range of amusement games, and special attractions like archery, bowling, and axe throwing. We have three LBE locations on the horizon for 2024. In addition to new locations of the Rec Room slated to open in the fourth quarter in Vancouver and Montreal, we recently announced a new Palladium location opening in Toronto at Cadillac Fairview Mall, situated next to Cineplex Cinemas Fairview Mall. The addition of these locations will increase our total number of LBE venues to 16 across Canada. Over time, we are improving our margins, found operational efficiencies, and we are confident in our ability to scale this business further as we are just over halfway towards our goal of 30 locations across Canada. Our media business is also expanding as we recently signed a digital signage and media representation deal with Cadillac Fairview that will strengthen our leadership position in reaching consumers at premium shopping destinations across the country. Cineplex Digital Media will operate a network of 200 digital displays and 18 Cadillac Fairview shopping centers, bolstering CDM's out-of-home shopping network to 89 premium shopping destinations in Canada, including nine of the top 10 busiest malls in Canada. With the addition of these media sales networks, this now positions Cineplex Media as the go-to supplier for in-mall advertising in the country. As we look at the state of the current film slate, during 2023, we saw excellent progress on film release volumes during the second and third quarter. The consistent supply of product is what we missed due to pandemic impacts on the production schedule. Despite anticipated short-term supply challenges due to the now-resolved writers and actors strike, we expect the box office to strengthen in the back half of 2024 and into 2025 as film volume ramps up. When it comes to film supply, two things continue to hold true. Studios and streamers are committed to theatrical releases, and movies may shift their release date, but they are still hitting theaters. Monkey Man, directed by and starring Dev Patel, famous for Slumdog Millionaire, has now been slated for a theatrical release this spring, as opposed to initial plans for direct streaming. We are even seeing films move up their release date, which will further enhance the 2024 supply. Just yesterday, Disney announced Moana 2 being released theatrically this November, in time for U.S. Thanksgiving. For the first quarter, we have the much-anticipated Dune Part 2, directed by Canada's own Denis Villeneuve. It's a movie made for the big-screen experience, with loyal fans eager to see this film in IMAX. Movie lovers are also looking forward to Marvel's Madame Web, family favorite Kung Fu Panda 4, Ghostbusters: Frozen Empire, and Godzilla X-Kong: The New Empire. In addition to movie buzz, we've noticed an abundance of demand for our premium concession items like cups and popcorn tubs, with Dune Part 2 and Ghostbusters: Frozen Empire bringing some fun merchandise for fans in the first quarter. After the first quarter, and as we continue through 2024, we have a number of strong titles, including Kingdom of the Planet of the Apes, Inside Out 2, If, Despicable Me 4, Deadpool 3, Beetlejuice 2, Gladiator 2, Wicked Part 1, Lord of the Rings: The War of Rohirrim, Mufasa: The Lion King, and Sonic the Hedgehog 3. Finally, on the international front, I know our teams can't stop talking about Bollywood film Fighter, which landed in theaters late January and is inspired by Top Gun Maverick. International films are becoming a bigger contributor to total box office numbers, as I shared earlier. We will continue to focus on bringing a diverse slate of content to Canadians, and with our rich consumer insights, strong supply relationships, and distribution capabilities, I am confident we are well positioned to navigate any short-term supply challenges. While Exhibition is growing and we are building upon our diversified businesses, we have also made great strides towards strengthening our balance sheet. Just last week, we announced the closing of the P1AG transaction for $155 million in gross cash proceeds, which represents an approximate 7.5 times multiple on a free cash flow basis, doubling our original investment. We have been in the amusement solution business since 2011, and through organic growth and acquisitions, we have grown it to become a North American leader. The sale of P1AG represents an important step towards accelerating the company's focus on deleveraging and acting as a catalyst for the company's refinancing plans that were announced earlier today. We are focused on extending debt maturities, removing restrictions, and reducing potential equity dilution. As we work towards our target leverage ratio of 2.5 times to 3 times, we will consider the reintroduction of a dividend. Gord will be sharing more on this shortly. I also want to provide a brief update on the Competition Bureau's allegations regarding our online booking fee. We strongly believe that we have complied with both the letter and spirit of the law and that the Competition Bureau's allegations are unfounded. We look forward to presenting our case before the Competition Tribunal later this month. We are also aware that class action lawsuits have been commenced in Quebec and British Columbia, and we intend to vigorously defend ourselves against these meritless allegations. As we look to the year ahead, we are starting on solid footing. Our strong performance in 2023 saw adjusted EBITDA and cash flows starting to approach pre-pandemic levels, and we have delivered strong year-over-year growth. As we kick off 2024, there's a lot we are excited about. We are seeing the return of moviegoing as the content supply is starting to return to a more consistent pace and volume, especially in the back half of 2024. We are well positioned to navigate any temporary supply shifts and are confident we will continue to outperform our North American peers when it comes to overall box office performance, and more specifically, in regards to international programming and alternative content. We remain committed to delighting our guests at their local theatre to ensure they enjoy the full Cineplex entertainment experience, from delicious food options, expanded entertainment and amusement gaming offerings to a wide range of premium viewing experiences and content offerings, including films and events. Our LBE business has reached significant scale and will be a key growth driver into the future. We've got three new locations set to open across Canada this year. Our unique brand offerings are a key differentiator, and operationally, we are ready to continue to scale this business in an efficient and profitable way. Our investment in digital products will continue to enhance the guest journey across all our entertainment offerings. Having ownership over our media businesses provides significant bottom line contributions as advertisers look to reach Canadians in a meaningful and engaging way across the country in cinema or out-of-home networks. We have the ability to provide attribution and measurement to our advertising clients through our rich data. And finally, strengthening our balance sheet will continue to be a focus for us this year, and we are making tremendous progress as discussed earlier. Overall, Cineplex has a history of driving industry-leading results and is well positioned to achieve great success. Our innovative and successful growth initiatives, along with our disciplined capital and cost management, will serve us well for years to come. I am extremely proud of the Cineplex team and want to thank them for their agility, resourcefulness and determination as we work together to grow our business. With that, I will turn things over to Gord.
Gord Nelson: Thanks, Ellis. I am pleased to present a condensed summary of the fourth quarter and 2023 annual results for Cineplex Inc. For further reference, our financial statements and MD&A have been filed on SEDAR Plus and are also available on our Investor Relations website at cineplex.com. Our MD&A and earnings press release includes a complete narrative on the operational results. So I will focus on highlighting select items and then providing commentary on our convertible debenture amendment proposal, our comprehensive refinancing plan and our outlook. Prior to commenting on the financial results, I want to remind you that, with the completed sale of P1AG last week, the results of P1AG are retroactively presented as discontinued operations. There is significant disclosure in our financial statements and MD&A related to this retroactive presentation, and all amounts following will be from continuing operations unless otherwise stated. As Ellis mentioned, our annual results were very strong. Total revenue increased 25.9% to $1.4 billion, and our adjusted EBITDA was $157.4 million. Including P1AG, adjusted EBITDA was $193.1 million, which represents 84% of 2019's level on 85% of 2019's box office revenue and [72%] revenue. So let's put some perspective to what we've accomplished since the beginning of the pandemic. In 2021, our annual EBITDA increased $78.2 million from the prior year. In 2022, it increased a further $147.2 million from the prior year. And in 2023, it increased a further $103.2 million as compared to the prior year. What an incredible recovery story. We continue to focus on revenue opportunities and cost management and are extremely pleased in 2023 to reach a double-digit adjusted EBITDA margin of 11.3%, approaching the full year 2019 total of 13.8%. Now let's take a closer look at our segments and see this optimization focus. In the Film Exhibition and Content segment, attendance for 2023 increased 25.8% over 2022. Total revenue increased 29.3%. And segment adjusted EBITDA increased an incredible 486%, demonstrating the powerful operating leverage in this business. Our segment adjusted EBITDA margin increased to 11.5% in 2023 as compared to 3.1% in 2022. In the media segment, as we have mentioned previously, the cinema media business model post-pandemic has shifted to a CPM-based model. Compared to 2022, media segment revenue increased 6%. Segment adjusted EBITDA increased 8.5%. And segment adjusted EBITDA margin increased to 55.9% from 54.5% in 2022. Moving forward, we are encouraged by a stronger advertising market and the addition of Cadillac Fareview to our shopping mall network beginning in 2024. This will provide significant incremental contributions to both the cinema media business and the digital media business. And lastly, our LBE segment continues to exceed our expectations. Segment revenues increased 19.6% over 2022. And store level adjusted EBITDA increased 10.4%. Store level adjusted EBITDA margins for 2023 of 28.5% exceeded our targets of 25%. In looking at 2022's results, it is important to remember that the LBE business benefited from the receipt of certain wage and other subsidies. We are pleased with the LBE results and with only 13 locations at year-end, we are not yet halfway through our 30-location potential rollout. Above are concrete examples of this focus on revenue opportunities and cost management. And finally, net income has increased significantly to $167.2 million from $0.1 million in 2020, primarily due to the significant increase in adjusted EBITDA and the re-recognition of the deferred tax asset, which were significantly greater than the seen gain, impairment reversals, and non-cash interest pickups in the prior year. I would now like to move on and speak to our balance sheet and in particular, our liquidity position. At year-end, we had $298 million drawn and approximately $235 million available and are under our credit facilities. As of December 31, 2023, we reported a senior leverage ratio of 1.51 times as compared to a covenant of 2.25 times. Total debt ratio was 2.70 times as compared to a covenant of 3.25 times, well within our 2.5 to 3 times target range and demonstrates our commitment to deleveraging. In addition to deleveraging through operating results, we recently closed the sale of P1AG and this resulted in gross cash proceeds of approximately $155 million, which was used to repay amounts borrowed under the existing credit facility. As a reminder, any cash taxes on the gain will be sheltered by available NOLs. I do want to spend some time talking about our balance sheet and the press release issued this morning regarding our comprehensive refinancing plan. We've been talking for some time about optimizing our capital structure when appropriate. We said during the Q3 call in November that you will see us moving forward with initiatives including extending maturities, removing restrictions and financial covenants, and ultimately introducing a dividend. Well, with the significant improvements in our operating results, the stronger financing markets, and the catalyst of the sale of the P1AG business, the time to take action is now. We have spent the past year listening to investor concerns, including issues with near-term maturities, dilutive convertible debentures, and concerns over bank credit facility covenants restricting operating flexibility. We believe our plan addresses all these concerns. First, we have launched a process to amend, extend, and partially redeem our current convertible debentures, key components including reducing the principal amount by $100 million and extending the term out six years to March 2030. We require approval of two-thirds of the holders and as of today we have the support of approximately 61.2% of convertible holders. This amendment is part of a broader refinancing plan which includes a new Canadian dollar high-yield senior secured offering of between $500 million and $600 million with a term to maturity of at least five years, a new $100 million covenant-like senior secured revolving credit facility which would be undrawn at closing, and repayment in full of our existing senior credit facility and our existing 7.5% senior secured second lien notes. We are ready and we will launch these initiatives immediately with a goal to close all transactions in early March. At the midpoint on the high-yield offering of $550 million and no amounts drawn on the revolver, we will be coming out of the gate with senior leverage of approximately 3.5 times based on 2023 adjusted EBITDA from continuing operations of $157.4 million. So in summary, we shared investor concerns with respect to our balance sheet and we said that we would act when appropriate. We had three key objectives. Objective one was to meaningfully extend debt maturities. This plan will result in new senior secured notes with a maturity of at least five years and an amended convert offering with a term of six years. Objective two was to reduce restrictions imposed by debt covenants. This plan will result in the repayment in full of the existing bank credit facility and the replacement with a $100 million revolver with a covenant-like structure. And finally, objective three was to reduce the potential equity dilution from the existing convertible debentures. This amendment and principal repayment will result in a reduction in the potential equity dilution of just under 9 million shares or just under 30% of the potential equity dilution of the existing converts. This plan is a bold move to strengthen the balance sheet for the future. Now I'd like to take a few moments to consider the future. I want to revisit the world we've described during our past analyst calls. This was a world where we could potentially achieve pre-pandemic adjusted EBITDA levels on 75% to 80% pre-pandemic levels due to our business model and use of free cash flow to de-lever. For the full year of 2023, we achieved roughly 84% of 2019 EBITDA on 72% of the attendance. If we achieved 75% of pre-pandemic, our adjusted EBITDA would be approximately $20 million higher. And if we achieved 80% of pre-pandemic levels, we would be approximately equal to 2019 adjusted EBITDA level. We may have a few bumps ahead because of early state changes due to the various strikes, but the long-term view is solid and we believe this world that we have described is real and coming soon. We see a continued path to hitting our leverage target of 2.5 to 3 times and reintroducing a dividend. With our strong operating results and our balance sheet initiative discussed today, there is a lot to be excited about. And with that, I would like to turn things over to the conference operator for questions.
Operator: Thank you. [Operator Instructions] So our first question comes from the line of Derek Lessard of TD Cowen. Your line is now open. Please go ahead.
Derek Lessard: Yes. Good morning everybody and congratulations. I think obviously the big news, is the announced refinancing plan. You did talk about it being covenant light. I was wondering if you could maybe add some details around that. And maybe as a follow-up, as it relates to your asset base. Should this put to bed against any more asset sales? In other words, everything that you have now, should we be considering that as core?
Ellis Jacob: So thanks Derek. And thanks for your question. So, with respect to the first one, when we describe it as covenant light, we would describe that as a kind of a typical kind of covenant light structure that exists out there today. Depending on borrowing levels, it could introduce a kind of a springing test at some point. So, but it would remove substantially the majority of the restrictions that we've had to-date, assuming that we don't exceed kind of those springing borrowing levels. On your second question then is, I think as I've described today, we're very confident of the world where we are and where we see it going. But as we've always said though, if we felt that there was kind of an accretive opportunity on a transaction, we would, as we should do, we should explore those opportunities. So nothing planned today, but if there's an opportunity there, we would obviously explore.
Derek Lessard: Okay. You have mentioned in the past, the desire to get a credit rating. Just curious where that - where you guys are in that process, or line of thinking?
Ellis Jacob: Yes. So look, we're at a position where we want to ensure the success of the offering that, we're looking to do, as well as position the company well and give us flexibility for the future. So one should expect that with the marketing of this deal, that a credit rating will be part of that.
Derek Lessard: Okay. And maybe just one more on the operational side. I was wondering if you could give us an update, on the rollout of the mobile food ordering throughout the network?
Gord Nelson: Yes. We started that and it's been quite successful, Derek. And we will continue to roll it out for the balance of 2024 across the country, as we go through the different regions.
Derek Lessard: Okay. Thanks everybody for taking my questions.
Ellis Jacob: Thank you.
Operator: Thank you. Our next question comes from the line of Aravinda Galappatthige of Canaccord Genuity. Your line is now open. Please go ahead.
Aravinda Galappatthige: Good morning. Thanks for taking my questions. A couple from me. With respect to [indiscernible], you talked about, you kind of gave some high-level projections on various attendance levels, which is obviously very helpful. With respect to the prospect of someday bringing back a dividend, I wanted to ask you about how you see free cash flow conversion, how we should think about that. Obviously, 2023 is a bit of an anomaly from that perspective, partly because of the lighter Q4. How should we think about those components, like - the main components as we kind of look to walk down from EBITDAaL to free cash flow? And secondly, kind of a broader question on the slate, maybe for Ellis. Clearly, we know that the Hollywood strikes impacted the slate. But when you look at the slate for the second half of the year, at least from first glance, it looks like its strengthening. Then 2025 arguably has a lot of the bigger brands, bigger tent-pole brands coming back. Is it your general view as well that the slate starts to look a lot stronger towards the second half and into 2025? Thanks.
Gord Nelson: Good morning, Aravinda, and thanks for the questions. With respect to your first question on sort of free cash flow conversion and the reintroduction of a dividend. I described a number of scenarios with respect to attendance levels. The one was somewhere between 75% and 80% as we would really be at pre-pandemic levels. Including P1AG, we're roughly $230 million in 2019. We suggested that at an 80% level, based on last year's results, we would be in essence at 2019's levels. The proviso was that excluding P1AG, that's roughly around $200 million. So let's just use a round number of around $200 million. So out of that really comes two components, because which would be interest and CapEx. We have significant NOLs that will shelter near-term cash taxes for the next number of years. When we look at interest, our cost of interest today, is roughly $60 million cash interest. As a result of the refinancing and the paydown from P1AG, we expect that to be slightly less than that. It will all be, somewhat contingent on the marketing of the high yield deal. But we expect that the interest rate environment today, is a little bit more challenging than it was when we introduced some of these other instruments. So, but we should be less than $60 million. And then with respect to CapEx is, when you look at last year's numbers as an example, it was just over $40 million. Well below for the $60 million that I would have provided guidance on. As we look forward to next year in particular, as I mentioned, we have four locations coming on board. Three in the LBE space, so two Rec Rooms, one in Vancouver and one in Montreal. We have one Palladium in Toronto and one theatre in Montreal. So four locations using sort of the average amount of $10 million each, that's $40 million. We use $25 million to $30 million for maintenance CapEx and $10 million to $15 million for premium and others. You're roughly going to be at around an $80 million number for next year, with those number of locations. So if you do the kind of high-level math, $20 million, less $60 million, less $80 million, it gives us an ability to delever at $80 million. plus, with the improved operating results, we should be in that target leverage ratio range of 2.5 to 3 times. And so, those are the kind of parameters around where you see the reintroduction of the dividend, which could be towards the end of this year and to early next year. And that's likely time yes.
Ellis Jacob: And Aravinda on your question regarding the movie suite, in all honesty, I'm actually quite excited for the month of March. We've got Dune Part 2 coming out by Denis Villeneuve and that's going to be a big Canadian event. And I think it'll do very well for us. We've got Kung Fu Panda 4. And then we've got Ghostbusters Frozen Empire followed by Godzilla, the New Empire. So you've got a big movie and with the holiday period, we will have a strong month of March. And we are seeing a number of films, being moved up on the calendar. As I mentioned earlier, Moana, which we weren't aware of it being released yesterday. Disney put it into November of 2024. When I look at the Christmas of 2024, I think we are going to have a really, really strong fourth quarter, compared to what it was in 2023. Even though we won't have a Taylor Swift unless she's doing something new for us. But you've got a lot of big product between Venom, Gladiator, Wicked, Moana 2, Lord of the Rings, Karate Kid, The Lion King and Sonic the Hedgehog. There's like a big picture pretty well all through the fourth quarter of 2024. And there are big movies, you know, interspersed like in September where normally you don't have large movies. You've got Beetlejuice 2 and Transformers 1, which are both coming out. So I'm very positive and optimistic that, there's going to be more movies moving up and also the strength of the product will be good. Hope that helps you and answers your question.
Aravinda Galappatthige: Yes, it does. Thanks so much.
Operator: Thank you. Our next question comes from the line of Maher Yaghi of Scotiabank. Your line is now open. Please go ahead.
Maher Yaghi: Great. Thank you for taking my question. I wanted to just ask you a few questions. I get a lot from investors, and maybe it's helpful to put them out there. The first question is on movie costs. Are we seeing, or expecting changes in terms of movie costs that, you know, as now the negotiations have ended in Hollywood? Are you expecting any changes there? Second question is, on real estate optimization. Should we expect any reduction in rents in 2024, potentially as you may not look at optimizing some of your venues? And third question sorry I'm throwing to you all of them at this point. Third question is, when we look at 2024, what are we expecting in terms of margin accretion from the operating leverage of the business? Gord, you discussed some metrics when it comes to attendance, but are there - assets that could be seen as non-core, as potentially also adding benefit in 2024, when it comes to cash contribution? Thank you.
Ellis Jacob: So thank you for your question, Maher. And the first couple, I will take on the studios, we don't expect any real material changes in our film rental, as we go through 2024. Now again, if we have massive box office hits, and they do extremely well, then we are happy to pay more, because then we end up with much larger box office numbers. So, I would say on average you can go with what we have been able to do historically as we go forward. On the rent side, we continue to work with our landlord partners, and look at opportunities and we continue to adjust, as we look into the future. And that's something that we continue to do as leases come up for renewal, and that will be something we will do through 2024. But we also will get the benefit of adjustments that, we have made in the past couple of years that will flow through into 2024 and forward. And Gord, do you want to talk about - the PPP and CPP upside? Because we were looking at, you know, potential benefits. And one of the things that we have to say is for the month of October, we had our highest CPP ever. It was the first time it - crossed $10. And the Taylor Swift concert really helped in that case. We continue to work on ways to increase our concessions for international content and we will look at different ways to do that as we move forward. Our box per person was hurt in the fourth quarter, because we didn't have a lot of movies that were 3D, compared to 2022. But we see that will pick up as we have the bigger movies coming forward into 2024. So those are kind of the areas, I think you were asking about. And Gord, I'll turn it back to you.
Gord Nelson: Yes, so with respect to margin Maher like - look I'm really excited for, I'd say, four key areas that will help drive results and margins going forward. The first one, as you noted, is attendance and as I noted too. I gave you some numbers in terms of the improvements to EBITDA based on various attendance levels. So that's probably our strongest contributor. The other thing is, when you look at, the performance of our LBE business, and that we're hitting and exceeding our target store level margins of 25%. And we've got three LBEs coming on board next year. So, that will be margin accretive. The third element is when you look at our media business, it's been - a bit of a challenging advertising market across the board, across not just only Cineplex, but for everyone. And as we see the rebound of the media business, as well as the addition of Cadillac Fairview to our digital signage network. And as you may recall, the incremental contribution of each additional media dollar is very significant, to the bottom line. I gave you the overall Media segment margin of about 55%, but that's not an increment. The increment is significantly higher than that. And then the last item is that, we're very excited about the results from deploying, sort of the mobile concession app. And what may that that means in terms since the purchase in our location. So those four items together, you would expect to have kind of meaningful contributions to the EBITDA margin and EBITDA portfolio.
Maher Yaghi: Great. Thank you. And one last question on asset sales. Are there anything else in the pipeline that could be looked at other than what you already have announced?
Ellis Jacob: So, as I mentioned earlier, no plans for anything else at this point in time. We're where we are. So they came around that there's an opportunity out there that, was hugely creative. We would consider it backing at this time.
Maher Yaghi: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Drew McReynolds of RBC Capital Markets. Your line is open. Please go ahead.
Drew McReynolds: Yes, thanks very much. And good morning. Just first, Gord, for you, just a point of clarification. I was kind of late getting on the $80 million in CapEx that, you provided the breakdown for. Was that for 2024, or was that a 2025 CapEx cut?
Gord Nelson: 2024.
Drew McReynolds: Okay. Perfect. And on the LBE strategy, so good to see this kind of kicking up back into gear with, your target of 30 locations. So two questions. One, as you bring on new locations, presumably with all the experience you have had inside of maybe start-up kind of marketing costs, do you expect to get, to closer to your kind of run rate margin sooner than, maybe some of the initial locations? And then secondly, outside of LBE, looking at your diversification portfolio, you've pulled P1AG. Is there any other kind of adjacencies that you're eyeing for the moment, or really is it all around kind of the digital media side and the LBE side, at least for the foreseeable future?
Gord Nelson: Okay. So Drew, first of all, on your question on LBE and run rate margins. We developed a concept, we brought it to Canada we've learned a lot over the last five years or so. We've kind of really narrowed down what the offering is. And from the first one, which was, it's very large box in Edmonton to, where we are today. So you're going to see us hit those, as you'd expect, hit those margins kind of out of the box. There's typically often a honeymoon period, where they actually outperform a little bit when they first open. But yes, we're very confident of achieving kind of those margins on a go forward basis, given the experience that we've had in the business.
Ellis Jacob: And then with respect to your other question, outside, sort of where we see the diversified business model. We continue to introduce, additional concepts. We've got the LBE, we said, we've got the Palladium, we've got the Rec Rooms. We've also recently introduced the junction, where we have two of those. There's opportunities, for additional sites. But right now, I would say we're focused on, just continuing on with the plan as it exists today. We'll explore opportunities to see the extent that there may be other things, to do in the future. But right now, our focus is pretty much on the diversified strategy and plan as laid out in our most recent document [ph].
Gord Nelson: And Drew, our focus is on the balance sheet, which is what we talked about through the call. And as we have the additional funds, we can look at opportunities that become available.
Drew McReynolds: Okay. No, that's all helpful. One last one on the Cineplex Media. You know, now that it's a little bit more CPM based, I'm wondering if you can just talk to kind of the ability for those CPMs to firm up, you know, over time. I guess the way I look at the business, is somewhat of an outdoor digital data driven business, which in my mind should be, very competitive as a media channel, with a lot of kind of sustained growth here as attendance comes back. But just on the rate side, is there any additional color you can give us? Is how you expect that - those rates to firm up if you do over the next couple of years?
Gord Nelson: Yes, so first of all, the media offering is a very unique media offering. You've got to cap the audience of a very attractive demo and the ability that we could connect the fact audience that are way today. So, it really is a compelling offering for advertisers. With that said, we did, obviously, during the pandemic, it was needed to kind of transition to a CPM based model given, what was going on - within Canada in terms of opening and closing. So, we still see, we continue to drive and provide additional insights to our advertisers, which provide tremendous value. So not only do we see, kind of growth in our advertiser base, and particularly in growth in the advertising market. But we also see opportunities as they see the compelling nature of the offering that we provide relative to, other Wests going on.
Ellis Jacob: And Drew, we can use our data now to provide our advertisers with great feedback, which really helps from an overall perspective. And we can now provide agencies with a huge offering, which is not only the movie theaters, it's the digital side of things, it's the Rec Room. So, you can really get an overall benefit from a marketing perspective when you team up with Cineplex.
Drew McReynolds: Yes, that's great. Thank you very much.
Ellis Jacob: Thank you.
Gord Nelson: Thanks, Drew.
Operator: As there are no additional questions waiting at this time, I'd like to hand the call back over to our host, Ellis Jacob, for closing remarks.
Ellis Jacob: Thank you very, very much for all joining the call this morning. And we look forward to speaking with you in our May first quarter, 2024 for results. Have a great day and get ready for our big movies. Thank you.
Operator: Ladies and gentlemen, thank you for joining us on today's call. Have a great rest of your day. You may now disconnect your lines.